Operator: Good afternoon, ladies and gentlemen. Welcome to the Naspers’ Interim Results for the Financial Year 2016. All participants are currently in listen-only mode and there will be an opportunity for you to ask questions later on during the conference. [Operator Instructions] Please also note that this call is being recorded. I would now like to turn the conference over to Meloy Horn. Please go ahead.
Meloy Horn: Thank you very much and welcome everybody. On behalf of Naspers, I would just like to introduce you to the management team today. Representing our company and on the call we have Bob van Dijk, our CEO; Basil Sgourdos, the CFO, Oliver Rippel, the CEO of B2C, E-commerce; Charles Searle, CEO for Listed Assets; Martin Scheepbouwer, CEO for Classifieds; Imtiaz Patel, CEO for Video Entertainment; as well as Mark Sorour, our Group CIO; Tim Hilpert, he is the CEO for Classifieds Europe; and Nico Marais, our GM, Finance. I’d now like to hand you over to Bob van Dijk to start today’s presentation.
Bob van Dijk: Thank you, Meloy. And welcome everybody to our interim results financial year 2016. So I will kick off today and give you an overview and context for our results, then I hand over to Basil who will take us through the detailed financials and then our business leaders will take you through the main segment developments. So as shown on slide four, the key elements of our strategy and our online priorities remained the same. So, first and foremost, we are building leading ecommerce businesses across the world. Second, we choose segments that customers are embracing rapidly. Third, we are investing in geographies and segments that have significant growth potential. Fourth, our product focus is mobile first one mobile-only. And finally, we take action to make sure we deliver strong returns on investment across our portfolio for our shareholders. Slide five, shows number of our major ecommerce businesses, how they have established leadership in their space. So in the first graph, it shows our Classifieds businesses now serve the second largest volumes in the world, if we look just a desktop and mobile web business. If you include app traffic, we clearly served the largest audience in Classifieds in the world. The second graph shows how Flipkart has a strong lead in app based and commerce in India. And finally, on the right hand side, it shows our Allegro marketplace audience that sets a standard for engagement for its OLX peers. If we move to slide six, it illustrates how our focus areas are characterized by customer engagement growth. So the left hand graph shows that mobile engagement is growing across the Board in all segments. But if you look at mobile commerce in particular on the left hand side, it is growing at more than twice the pace of other mobile services. And the data that we show here is based on U.S. trends. If you look in our growth markets, U.S. trend is even more pronounced. The right hand graph shows that online video streaming has doubled than last few years and is likely to continue across our markets. So mobile commerce and connected video are some of our most important priority areas for investments across the world. We move to slide seven. It highlights a number of particular high growth areas that we’re investing in. So under the PayU brand, we processed payments in excess of $10 billion per year across India, Latin America, Africa and Central and Eastern Europe. We lead in the payment service provider segment in most of these markets and we’re rapidly building a consumer business as well. On the top right hand side, in the online travel space in India, Go Ibibo handles more transactions than any competitor. Bottom left hand side, our food delivery business, iFood, is a clear market leader in the Brazilian market and expanding. And on the right bottom side, through our investment in LetGo, we’re targeting mobile-only classifieds, primarily in the United States and in Turkey. We move to slide eight. It is illustration of how focus on mobile is translating into real results. We zoom in on India here, which is an Android first market with an increasing shift to mobile-only solutions. I really believe that app-based commerce is the way forward in this market and many others. So as mentioned earlier, in mobile-app market share, Flipkart is far ahead of its e-built competitors. The second graph shows how Ibibo has caught up with online travel incumbent with MakeMyTrip. And on the right hand side, it shows OLX India is more than twice the size of Quikr in app sessions and that gap is widening further rapidly. As you will see on slide nine, besides putting a very high bar for our new investments, we also consistently look at return on investments for existing asset base, where we see insufficient expected returns, we take action. We either restructure or we exit business as all together. In the last 18 months, we freed up $600 million in capital and we can redeploy to high return opportunities. So I’ll hand over now to Basil Sgourdos who will take us through the detailed financials.
Basil Sgourdos: Thank you, Bob. Good day all. So let’s get going on financial highlights. Could you please turn to slide 11 where we lay out the financial headlines? Focusing our thoughts the first three graphs including our proportional share of associate results. We also for the first time give you the organic growth rate. These exclude the impact of M&A and currency movement. We are pleased with the performance and the aggregate. Revenue, earnings and cash flows have all shown good growth. Starting with the graph on the top left, I’ll focus on growth market and segments that consumers are gravitating towards means that we continue to deliver good topline growth and scale. Our revenue for the PayU stood at 74 billion rand, growing 20% organically. The development spend at 5 billion rand, was up 8% organically year-on-year, primarily due to increase spend by the eTail associates. As a reminder, the development spend represents the aggregate trading office of businesses that are stored in both ways. Trading profit depicted in the bottom left graph grew organically 19% and core headline earnings per share shown on the bottom right grew by 31% on the back of a very strong performance by Tencent. I’ll remind you that core headline earnings is a useful image of the group sustainable operating performance. Moving to slide 12, in the top graph we analyzed the drivers of revenue growth in greater detail. Once more these numbers are projected on an economic interest basis. ForEx provide 8% boost while asset sales as part of the ongoing portfolio optimization resulting a life of 4% negative impacted growth. These two events make also deliver the net organic growth of 20% that I mentioned earlier. Our Internet segment remains the fastest growing segment. Organic growth of 28% year-on-year was driven by Tencent growing 50% and our ecommerce segment also growing well at 27%. Our Video Entertainment segment grew by slow in 9%. Our South African business paid well in a weak economic climate growing 14% that such higher markets have taken the brunt of falling commodity prices and weakening currencies. Consumers are feeling retrenched which has had a significant impact on our subscriber base and revenue growth. We have put through two sets of price increase to compensate for falling currencies given we have meaningful dollar cost in new businesses. We expect the headwinds to remain for a while still. Long-term our sub-Saharan sector remains well-positioned. Once the economic traction stabilizes, we hope to see a currency growth. On the bottom left, we will see the Internet segments now makes up 64% of our total revenues. This is up from 60% year ago. Our change in revenue mix reflects the growing importance of our global reach in our Internet segment. We have delivered an impressive topline growth and in many cases ahead of our peers. Our full year compounded annual growth rate expands at 33%. So moving to slide 13 in the detailed analysis of the drivers of development space. The top graph posts development spend on an economic interest basis including again our portfolio share of associates. It’s important to note that in the case of associates, this does not always result in cash upside for the group as we may not necessarily participate in all future capital goals. We continue to remain very disciplined in our investment approach. As we mentioned, the development spend grew 8% organically. Internet development spend increased by 10% primarily as a result of increased spend by our eTail associates. We have also accelerated spending Ibibo as it both upped its online hotel booking business. Ibibo’s e-ticketing business is scaling nicely and getting closed to great even. In PayU, spend is high as we invest in building up our consumer business in markets such as India. The DTH business continues to scale well and losses are narrowing. Our classified spend has declined on the back of the deal with Schibsted and our improved relative position in markets where we have competitors. We are very pleased with the progress Martin and team are making. Video Entertainment development spend is largely flat year-on-year. The DTT development spend declined as the business continues to scale despite a tough macroeconomic backdrop. If we continue on this trajectory, we could see DTT turning profitable during the course of next year. The decline in DTT development spend is offset by the investment in ShowMax, our subscription video on demand platform. The investment will increase in the second half of the year and will stay with us for some years. On the bottom left, we’ll show you the consolidated development spend. And you’ll see it decline by 13% on a normal basis. On an organic basis, the drop was roughly 20%. Lower DTT and classified spend are the key contributors for this. On the bottom right, we show you that 85% of our development investment is growing towards building our ecommerce positions. In fact, 68% of our development investment goes into the Classified and eTail segment. Both these segments are growing fast and we’re starting to see our earlier Classified growth turning profitable. So on slide 14, we analyzed our M&A for the last six months. You will note that the pace of M&A is largely in line with what we’ve seen in the past three years. Half of the M&A was spun on investment in an existing assets. M&A has been primarily focused on eTail and the Classified segments. They accounted for 89% of the investment in the first half of the year. What is not reflected here is, our recently announced step-up in Avito of $1.3 billion compared to our holding 68%. We expect the transaction to close shortly. The step-up will have a positive impact on our revenues, earnings and cash flows going forward. Our M&A strategy continues to evolve and we continue to look at new models and markets. We may consider additional earlier stage investments such as Letgo, as we seek up new statements and markets to deliver the future engines of growth. If you could please turn to slide 15 where we’ve shown you the four year compounded annual growth rate for the core headline earnings per share number. Both Tencent and our Video-entertainment segments have driven earnings and cash flows growth of the last four years. And recently, we have also seen contribution from business such as Allegro, our CEE classified and comparison shopping businesses. Next, we turn to Video-entertainment, PSP and some of our earlier e-commerce investments. We will continue to grow the remaining assets, standing them and driving them to profitability. On slide 16, we show you the consolidated income statement. Consolidated revenues stood at 58 billion rand, with growth coming from Video-entertainment segment, eMag, our etail business in Central and Eastern Europe, ibibo, our travel business in India and Movile, our mobile OCS focused business in Brazil and Latin America, and of course, our Classifieds businesses such as the Brazil and our Polish businesses. Macroeconomic headwinds in sub-Saharan Africa have impacted revenue growth for our DTH business. Trading margins remain steady at 8%. We will need to scale our ecommerce businesses, successfully navigate the near-term macro challenges in sub-Saharan Africa and continue to grow our DTT business to drive margin improvements. Our financed costs have increased to 2 billion rand on the back of a $1.2 billion bond closed in July, as well as $4 on our revolving credit facility to fund growth. The interest expense on our borrowings amounted to 1.2 billion rand. Looking at earnings from associates, as mentioned earlier, Tencent has delivered very strong earnings growth. This is partially offset by declining Mail.ru contributions, primarily due to the year-on-year ruble weakness. Then we have increased losses from etail associates such as Flipkart as they invest in scanning platforms. In the prior year, we recorded significant remeasurement gains of 4.5 billion rand, primarily resulting from Mail.ru sale of Qiwi shares. We currently have 1.5 billion rand as our share of Tencent fair value adjustments. We’ve decided to take a 1.9 billion in stake in Buscapé. Adverse economic developments, combined with pay shop and online comparison shopping shares of ecommerce made us revised our future expectations. Our net profit declined as a result of the -- from 9.3 billion rand to 8.3 billion rand. On slide 17, we see a return to positive free cash flow of 1.3 billion rand. Improved cash flow from operations comes from lower consolidated delinquencies, growth in cash flows from our Video entertainment and the print segments as well as working capital improvements. Capital expenditures declined as our DTT network is largely build out. The increased finance leases is all exchange rate driven. Satellite leases are payable in US dollars. We currently have about 21 payments for cover. We have also seen a steady increase in the dividends from Tencent and we received 1.8 billion rand in the current period. On slide 18, our debt profile, we have analyzed our consolidated gross debt increased from 59 billion rand at March to 44 billion rand at 30, September, on the back of the bond issued in July and programs to fund M&A and development investment. Net gearing remains at a comfortable 53%. Our debt is 50 times covered by our marketable securities. The low accretion comments by rating agencies following the announcement of the Avito transaction. We mentioned that at the time of announcement that the transaction would not materially increase our debt profile in the medium term. Avito’s high topline growth and cash margins will make meaningful contributions to our cash flows in coming years. The comments on slide 18, you will see on slide 19 that we are considering a capital raise of up to $2.5 billion. The group has taken gross debt from virtually zero at the last capital raise in 2007 to some 44 billion rand. That’s significantly improving its weighted average cost of capital. Based on comments from rating agencies, there is clearly limited room to increase this further and maintain investment grade rating. We want to maintain investment grade rating for now. As Bob outlined earlier, we continue to optimize our portfolio and with completed sales, we’ve generated some $700 million of cash flows. We see further upside in the portfolio as it stands today and believe it will not be prudent to sell assets prematurely. As we have done to date, we remain focused on building long-term value for our shareholders. Any capital raise would be aimed at funding the Avito transaction and enhancing our financial flexibility. Our business and our environment are not static. To create value for our shareholders, we need the flexibility to respond to comparative dynamics as we take advantage of opportunities before us. We have kept the rates to a maximum of $2.5 billion or about 4% of our market cap. I will now hand it over to Oliver Rippel, our CEO of the B2C segment who will begin the ecommerce update.
Oliver Rippel: Thanks, Basil. I will now discuss the performance of our ecommerce portfolio. Moving to slide 41, here you can see the financial performance of ecommerce. We continued to make significant investments in technology and talent to drive customer satisfaction and engagement in ecommerce. Trading loss increased to 3.8 billion rand until September in order to create sustainable market leaders in all segments. The key drivers of the increases were investments and our etail associates, revenue as a mix for first-party etail revenue, as well as commission and advertising revenue from all segments. Revenue continues to grow strongly by 26% to over 15 billion rand until September under on organic basis. However, you can see in the bottom right chart that ecommerce segments such as travel, new ventures and classifieds are all growing well over 40% year-on-year. It is worth pointing out that GMV growth is higher than revenue growth for the etail segment due to fast-growing third-party transaction. Shifting to slide 22 and our etail segment. We continue to scale our portfolio of reaching a strong goal, with the focus on India, Europe as well as Africa and the Middle East. The focus is two-fold. On one hand to continue to have a consumer centric mindset and to drive the pillars of the consumer experience in retail, the next-gen convenience and price. On the other hand, seeing operating leverage and gross margin expansion and further improvement in unit economic. Our revenue growth continues to be consistent and significant, both on a full year or half year perspective. It is also worth pointing out that we have seen a good value appreciation of our overall portfolio, a testament to backing the right local teams and strategy and significant growth market. Current value of our eTail business is 2.7 times higher than what we have invested today, with the majority of value increased in the past three years. Moving onto marketplaces on the next slide, which is mainly our Allegro business in Poland and Central Eastern Europe. Allegro continues to show a very strong financial, growing its revenue to over 500 million Polish Zloty in the first half of the year. The trading profit and free cash flow both over $200 million Polish Zloty. What is very encouraging is that despite its size and high market penetration in Poland, the team has been able to accelerate GMV growth by focusing on scaling business sellers and reactivating casual sellers to the platform. In addition, Allegro is further strengthening it position in the market by introducing first volume retail for selected products on the marketplace. Turning last but not least to new ventures on slide 24. New ventures focuses on promising new segments of ecommerce, including online to offline business model. Our Latin American business Movile focuses on a whole range of segments in this regard. Within restaurant and food delivery, Latin American-centric ifood is the clear market leader in the region with around 70% market share in Brazil. The team focuses on mobile apps with engagement and generates more than 850,000 orders per month. Within live event ticket ingresso rapido has been equally impressive market share in five times the size of its nearest competitor. The business has sold over 4 million tickets to-date. Lastly, after early success of locally incubated play kid, a kids entertainment app, the team have started to enter markets outside of the continent and consumer take up is promising. Beyond these successes Movile focus has been other online to offline businesses that have the potential of regional or even global scale, including truck marketplaces and several logistics platform. I would now hand it over to Martin to take us through Classifieds.
Martin Scheepbouwer: Thanks, Oliver, and good afternoon, everyone. On page 25, let me start off by recapping why we are international client. Online Classifieds especially the horizontal format than better than local C2C trade, addresses almost universally you and me. Typically, Classifieds platform when consumer sell will use IT to someone else both monthly to be happy. They sell [indiscernible] in-house and got some money for it, while the buyers able to obtain something in a significant discount review. As far this principle across millions of new items placed everyday, it becomes clear Classifieds has a major impact on local communities and societies at large, but lowering the demand for new goods. Considering the considerable network affect on Classifieds as market mature, most often and large winning platform emerged, which is able to catch its value share of this trade and translate it into substantial revenues and high margins. Turning to page 26, OLX is our main brand. It has emerged a large footprint over the last years driven by organic growth and re-branding in some markets. OLX is now present in about 14 markets globally with in country deems in about half of these. Our focus is on build and engaging mobile products, illustrated by performance and excellence. App rating at the end is 4.3. We have leading positions in 17 countries. All this is done at growing scale. We had a total of 260 million multi-user in September generating 19 billion basics, that’s up from 240 million and 17 million in March. Turning to page 27, on the top graph you see that after two years of aggressive expanding, we have 34 markets in leading positions and of which nine are currently monetizing in earnings, that’s Russia, UAE, Portugal, Brazil, Poland, Bosnia, Bulgaria, Romania and Ukraine. Recently we entered the large U.S. market through an investment in LetGo in app-only Classifieds format which is showing group early traction. Our double energy is spent on execution or excellence by operating as a single operating company with alignment of brand, platform and people, especially the mobile. Crucially, we could make apps a user intension first and that’s been able to increase substantial market for first-class product solutions by selectively consolidating technology. In September, on a year-over-year basis, this has translated into healthy growth of 33% in visits and 62% in page views from aggregate. Turning to page 28, two good examples OLX gaining upper-hand from operational excellence, our operations in Argentina and India. As we’ve shown an app engagement and brand awareness, OLX has been able to outgrow strong competition in both markets by continuous improvement with marketing efficiency, user engagement, [indiscernible] apps and user retention. Page 29, in Brazil, we have emerged with shift at Bomnegocio at the beginning of the year, benefits of [SAV] [ph] are coming to fruition. The formation of a single platform a user brand has allowed us to reduce marketing spend by about 80%, but continuing to grow healthily in metrics such as listings and basics. Building on this momentum, the team has shifted resources to advancing monetization products which are gradually coming on street. Turning to page 30, as many of you are aware, we announced that we plan to increase our stake in Russian Classifieds leader Avito from about 17% to 68%. We’ve been exposing Russian markets for several years through Movile and Avito amongst others. And in spite of given turbulence macroeconomic environment, we believe Russia is an attractive ecommerce market now and in the long-term. Avito as emerged as the clear winner in most of the Classifieds and hold some unprecedented volume position for market of that size. Building on this strong volume position has been able to monetize already driving revenues of high range by harvesting over 50% profitability. To get over this strong management team we aim to continue this journey by increasing our position and solidifying our positions in cars, real estate, jobs and service. Moreover, I’m very excited to explore progression synergies by knowledge and experience sharing with our own Classifieds operations. And for Tencent and I will now hand over to Charles.
Charles Searle: Thanks very much Martin. Well, turning to slide 31, as usual, just to remind you that Tencent financial results are reflective to Naspers’ accounts on a three-month lag basis and so I encourage you to visit the Tencent website for more details of their interim half year results, as well as their third quarter results, which were released on the 10th of November. As mentioned by Basil earlier, for the six months periods of 30th of June, Tencent recorded strong year-on-year growth in both revenue and earning. And as we can see the rise of the operating profit chart, operating profit was up 24% year-on-year at RMB19.4 billion. Now there have been two key contributors to this profitability growth. Firstly, revenues from online advertising increased 97% year-on-year, the RMB4.1 billion and this reflects higher contributions from video advertising as well as strong results from performance-based social advertising on mobile devices. And then secondly, higher monetization from core PC gamers and growth in revenue from smartphones were also strong contributors to the profitability growth. Now as you may recall at the beginning of the year, Tencent outlined its strategic objectives, aims at continuing to build and cultivate a vibrant mobile ecosystem. Tencent has been working very hard this year at executing on the strategy by doing a number of things. Firstly, they’ve been driving transaction volume through their payment devices by leveraging the wide base of users who have bundled their bank cards with either Mobile QQ Wallet or Weixin Payments. There has been a substantial increase in popularity doing the first of the period, a person-to-person money transferred transaction over mobile devices, as well as a growing number of partner companies adopting Tencent’s mobile solutions. Secondly, Tencent is focused on growing its performance based advertising business by expanding inventory and enlarging its advertiser base, by sharing advertise revenue with content developers such as Weixin official account publisher. Tencent is encouraging better content and invest in improved user engagement in their ecosystem. And finally, much effort is being made in enriching digital content subscription services such as video, music and online reading services with substantial new investments in both new content and features. From a platform perspective, the smartphone-based social communication product Weixin, which is known internationally as WeChat, has registered the combined 615 million monthly active user accounts in September of this year. And this represent a 39% increase year-on-year. The rapid growth benefited from the launch of many new services and features including upgraded voice and communication functionality as well as new user tools for good chatting and multiple person video calls. For QQ instant messaging, smart device monthly active users increased by 18% year-on-year to 639 million at the end of the third quarter. Well, overall its peak and current user numbers increase by 10% year-on-year to 139 million. Thirdly, it’s another excellent performance from Tencent. Now turning to next slide Mail.ru on slide 32. Now again similar to Tencent, Mail.ru’s results are reflected in Naspers’ accounts on a three-month lag basis and I refer you to the mail corporate website for their half year and Q3 trading update. Through six-month period 30th June, Mail’s continued positive growth trajectory will be at a lower -- substantially slower pace. As I mentioned on the last call, Mail’s continued to encounter headwind as a result of the tough Russian economic and geopolitical environment. And this has had a negative effect on revenues generally and in particular on display advertising revenues. However, over the last few months we’ve seen some stabilization and the return to the modest growth in the advertising environment. But I have to say it is too clearly to say to what extent these trends will continue. So against this backdrop, total revenue grew 6.9% year-on-year in rubles while EBITDA increased by 4.5% to 9.1 billion rubles. Mail continues to focus on executing its MMO game strategy and this has proved as we know to be very successful over the last few years. The games pipeline is strong and in the past few months we’ve gained such as Skyforge and Armored Warfare released both in Russia and internationally. And the initial feedback is being encouraging particularly for Armored Warfare. So summary, the overall structural drivers for the Mail.ru business remain unchanged, but with the ongoing economic challenges, we assume the near-term visibility remains somewhat uncertain. I’ll now hand you over to Imtiaz who will take you to the Video Entertainment result.
Imtiaz Patel: Thank you very much Charles. I’ll talk to you on the performance of the Video Entertainment section. Can you please turn to slide 34? Over the past six months, we continue to deliver quality video entertainment using multiple technologies to 10.2 million household in 50 countries across the African continent. Through leveraging our expertise in scale, continuing our investment in local content and showcasing great sports content, we’ve been able to grow our subscribe base 22% year-on-year. Our satellite PayTV business in South Africa and our digital terrestrial television operation delivered good subscriber growth. However, the DTH operations in Africa faced headwinds mainly due to the challenging economic environment. We now have close to 1.4 million political video recorders in consumer home across the continent representing about 13% of our total subscriber base and to cater for changing consumer needs we recently launched ShowMax, our new subscription video on demand service. Slide 35, shows the table of financial performance and reflects on some of the underlying cost elements. We saw revenue growing at 35% year-on-year but trading profit picked up by modest 1% due -- large due to a combination of an increase in content cost, the impact of currency devaluation and the change in our subscriber mix. Development spend which reflects our investment in new services yet to reach scale. They remained flat as the trading from DTT were reallocated to fund ShowMax. Programming and production cost increase 25% year-on-year as the weaker rent impacted the rates at which we hedged our net input cost. We’ll also continue to step-up our investment in local content and in theatrical alone, our investment now exceeds 2 billion rands per annum. As they’ve largely completed the buildout our DTT network footprint, CapEx ratio is 13% year-on-year. We expect this downward trend to continue for the rest of the year. Slide 36 highlight the mix fortunes of our DTH operation in South Africa and Sub-Saharan Africa. The South African business has done well and grew ARPU in range terms by 12%, which is mainly due to price increases, good performance of the premium base and the added contribution from value-added services on the back of a healthy sales of our high-end PVR, the Explora. The Explora base grew by 130, 000 and now shifted almost 0.5 million in store boxes. Churn on the Explora is about 50% lower given the stickiness of a larger area of services such as catch-up. Our total PVR penetration in South Africa is 20%. In general, South African consumer has remained resilient in our top end and may spark with lower end products continue to perform well. However, our first half sub growth was somewhat slower than expected due to the compact low case slowing down a sign that the middle class consumer might be facing economic pressure. In Sub-Saharan Africa, the picture is more challenging as we are witnessing serious economic headwind. Currencies in our key categories have experienced big decline against the U.S. dollar, dropping in every year 21% in some of our key markets. To offset the pressure on margins, we instituted extra price increases pushing up on average by 25%. This had a negative impact on growth and churn, and our DTH base experienced a net decline in subscribers. Slide 37, GOtv, our DTT business experienced good growth despite the absence of additional analog switch-offs. We continue to increase distance between us and our main competitor StarTimes in the majority of the markets where we operate. In markets where switch-offs have been implemented, we have seen a more settled churn rate versus pre-ASO markets. This has allowed us to start using subsidies and market spending. We will, however, continue to invest in pre-ASO markets where there is still significant growth opportunity. We will also continue to invest in quality content that resonates with our markets. On slide 38, the Anytime, Anywhere, Any device viewing principal is firmly entrenched in our business. We are committed to bringing our customers the best quality entertainment and we constantly reduce new content and services. Since April we have further enhanced our online DStv Now product, 75 registrations, increasing the number of channels to 25 and growing the use of the service by 50%. DStv Now offers great content offering both linear channels and advanced desktop library. As mentioned, we also launched ShowMax, our SVOD service offering an excess of 11,000 hours of content, more than any other local player, this service ensuring traction in the South African market. We will ramp up our investment in the business as we continue to build out the product. We are also increasing our focus on retention. We have vastly expanded the range of content available to the connected explorer, resulting in steady growth in connected explorer customer’s overtime. Box Office, our transactional video-on-demand business continues to perform well with monthly rentals in excess of $650,000 across 12 countries. And in South Africa and Namibia we have introduced a new billing system which gives us more flexibility based on CRM capability and improve stability. We will rollout this system to other territories over the next two years. Lastly, to ensure our business remains in a good footing and continue to deliver in terms of longer term profitability, we will also take a renewed look at our cost structure. I now hand you back to Bob to comment on our outlook.
Bob van Dijk: Thank you, Imtiaz. So this is actually where we conclude our presentation for today. Our focus on delivering excellent long-term returns for our shareholders, we very much stick to the strategic priorities we discussed today. So we now like to open up to the participants on the call for questions you may have.
Operator: [Operator Instructions] Our first question comes from Jarrett Geldenhuys from Investec. Please go ahead.
Jarrett Geldenhuys: Hello, everyone, and thank you very much for the opportunity. I wonder if you can comment briefly just on your developments spend profile and particularly with your [indiscernible] and potentially ShowMax? And then just further question on the emerging markets and per share simply there was obviously the monetization there is to exist some sub-transaction? I just wonder if further emerging market weakness might delay some of your monetization schedule for some of the other Classifieds? Thanks very much.
Bob van Dijk: Thank you. Not all questions were entirely easy to hear. So I’ll try to start answering, if we haven’t covered your points, please repeat. So I think the first question was around the impact on development spend of initiatives like LetGo and first-party in Poland. And LetGo, I think, we have outlined the size of the investment we have done. We believe that sets the company up for awhile out. So you expect that order magnitude of development spend can flow through in the next number of periods. Firstly, Poland is actually going to be a very small component of further development spend going forward. And the second question was around weakening in currencies for Classifieds potentially delaying monetization. We don’t see how that’s that would actually influence the monetization timeline because these businesses are run on a local bases entirely. So whether they are ready or not depends on their strength in market rather than on any sort of economic or currency factors. If I missed anything of your questions, please repeat what hasn’t been covered?
Jarrett Geldenhuys: Thanks. Just the other one is the development spend on ShowMax and then the question on the Classifieds was more question around actual trading conditions and as far as economic strengths not necessarily currency strengths? Thanks.
Bob van Dijk: Okay. So on ShowMax, we don’t give any future guidance on it. We can say that we expect the investment to continue for quite while and for the second half it would actually be more significant than -- and than first half. And maybe on customized marketing you can comment bit more on how you expect that to impact.
Basil Sgourdos: Yeah. So I wasn’t able to get your question fully, but what I can say is building book set is that, in emerging markets and across our portfolio we are pleased with the progress towards market maturity and market share, developing local leading platforms in more than 30 markets and if -- monetize depends on local market conditions and vis-à-vis then the shift of transactions so far so good and the main one there was obviously Brazil, which has emerged successfully and subsequently growing considerably. That’s why had a quite early deal from Now and that monetization country rather than in annuity market. Hope that answers your questions.
Jarrett Geldenhuys: Yeah. Thanks very much.
Operator: Thank you very much. Our next question is from David Ferguson from Renaissance Capital. Please go ahead.
David Ferguson: Hi. Good afternoon, everyone. So a couple of questions for you, firstly, on OLX India, it shows some sort of metric that indicate nice progress versus Quikr in the Indian market? Is it reasonable to assume that as you are pulling away that should not translate into lower spending in India? So that’s the first question. Secondly, on our OLX Brazil and it’s monetization? Can you tell us how much of its revenue is coming from installation fees versus display advertising, and give us a sense of how that would when compare with some of the more mature sites? And then, finally on eTail, obviously that’s take and go for large process, the development spend is the discerning core assets, Flipkar, Souq and so forth. Can you tell us, is the cash spend likely to accelerate, stay about the same or move down over the next 12 months? That’s it.
Martin Scheepbouwer: Hey Martin here. And I’ll try to answer your first two questions. Indeed, we’re very pleased with the operational progress OLX India has made over the past year. We clearly are quite focusing operational excellence to gap in the metrics that we care most about is growing. And that’s around the vibrancy in the core market places around C2C particularly in goods and in cars. I can’t comment on how it translates into development spend going forward, which is dictated by local price levels which is stupendously high in media in India and also whether we feel additional growth opportunities in that market. When it comes to Brazil, as I mentioned gradually not treat as amortization country because considering its market maturity and quite a good position of OLX Brazil, I think it’s ready to make to some money. And these will come from variety of sources as always looking at installation fees and fee limit differences, expediting fees as well as premium product for all. And we’ll be in a position to comment its relative share but going forward we’ll give you amortization metrics to do a relevant progress there.
Bob van Dijk: Okay. So on your question regarding eTail so as we mentioned before the eTail associate continue to make significant investments in technology, talent, somewhat marketing as well and what we’re seeing in some of those businesses especially the bigger ones that is increasing scale. Also the overall financial performance is improving with regards to gross margins and unit economics. And it’s also worth pointing out that the cash front that you see in those businesses doesn’t necessarily translate into cash burn on all side. And but lastly, I think it’s really positive worth pointing out that we don’t provide any specific further guidance on those businesses moving forward.
David Ferguson: Okay. That’s great. Thank you. And really just ask one quick question, final quick question. Investment into LetGo, it’s quite a large investment. I guess, that that happens over several years. But I’m just wondering what you get from that investment that you couldn’t have achieved organically via OLX?
Bob van Dijk: Yeah Bob. It’s -- we don’t comment on future spending. I think what we have said is that LetGo is in -- at this point showing good building traction and it’s particularly focused in number of markets that we were working with OLX. And we thought it was the best way to enter particularly the U.S. with an app-only format which we could bring onstream in matter of months and yeah considering the early traction I think that was a good call to make. And going forward, we’ll see how competitive the U.S. and other markets they may to be and then we’ll adjust our spending levels accordingly.
David Ferguson: Okay. That’s great. Thanks everyone.
Operator: Thank you. Our next question is from Edward Hill-Wood from Morgan Stanley. Please go ahead.
Bob van Dijk: Hi Ed.
Edward Hill-Wood: Good afternoon. I got two questions. Firstly, just relating to the, of course, equity raise, I mean, in terms of the announced -- you've published that $2.5 billion, I mean, why $2.5 billion or 3.5 or 2. Could you maybe help us explain what alternatives you looked at and why you think this is the better alternative to maybe additional total? Are there covenants on the debt that are restricted and why? What has changed both particularly that you think that you can help convince investors that you can generate a return on investment above your cost of capital with this additional money? And the second question relates to Classified, just going back to the big picture on it. It’s been a lot of moving parts this year. You have LetGo, Ibibo of their JVs as a recent consolidation and what is the ultimate end going for Classified as a business. Should we expect you to continue to integrate into one division? Should we expect Classifieds to become potentially an independent company in its own right in the next couple of years? Thank you.
Basil Sgourdos: Thank Ed. This is Basil here. So in terms of amount -- looking straightforward, we need $1.2 billion for Avito and then reliance on some flexibility, right. But we think -- and if you look at historical M&A, we do about $0.5 billion a year and that gives us roughly about two years of M&A. So we feel very comfortable with that. As to the second part of your question and alternatives, we already saw profit in terms of our optimization. We made $700 million. We’ve been very prudent in looking at our portfolio and taking of what we feel shouldn’t be there. What’s there now, we see future upside and we think it would be incorrect in terms of delivering long-term shareholder value to [SNO] [ph] as of now. In terms of debt covenants, no, the only covenants we have around our revolving credit facility. Our debt has got to be less than 2.75 times EBITDA and these are the adjusted numbers. There is a specific definition for the deal and our interest cover has got to be higher as well but well within those covenants. So there is no pressure on the revolving credit facility. And we don’t have bonds, we have no specific covenants. I’ll hand over to Bob to take you through the ROI question.
Bob van Dijk: Yeah. I think the best way to illustrate that we are comfortable that our investments are delivering the right return as well as looking at the two largest ones. We’ve been investing in ecommerce in the last two years. So in all adverse piece of the presentation you saw compared to what we invested today than eTail and what the value of those investments is to date. And I would say it’s still early days but we’ve delivered an excellent return on the money we’ve made in a very short amount of time. And you viewed the Classified, the other is the largest area of investment. If you look at the M&A plus the organic spend we have and at the value of those assets at this point in time which is obviously not public number but a fairly large number and you will see that we delivered in a span of three years, fantastic results for our shareholders. I think what you can count on from this team is to take the money we would collect on AAB and spend it with lot of diligence and similar potentially very high return ecommerce opportunities that we still se.
Martin Scheepbouwer: And the final point about the Classifieds organization, I think you are right to point out that’s been a busy year and we’re firing on all cylinders. Most of my comment is spend on organically developing our products in our position and we are pleased to see how we are winning, amplified being engaged in. In addition, we don’t shy away from investing in a third-party like Avito and seeking opportunity or attacking in new markets like the U.S. And this already gets down within a very self content organizational structure called Classified within us of course and at this point it looks well for all. We must provide some sufficient capital flexibility in the future to set up its suboptimal build.
Edward Hill-Wood: Thank you. Is any barrier to creating a standalone classifieds business, which could be probably identified incorporating, for example Avito with OLX?
Oliver Rippel: No barrier. In fact, our strategy is not like that. So more often or not, his own legal structure, his own consolidation strategy as CFO is set up like that. Each of our segments in fact has set up like that.
Edward Hill-Wood: Great. Thank you very much.
Operator: Thank you. Our next question is from JP Davids from Barclays. Please go ahead.
JP Davids: Hi. Good afternoon. I have a few questions please. The first one, just on the state of EM at the moment and the stress we are seeing on growth. Are you seeing this impact, the willingness of competitors of yours to invest in the markets you operate? Are you seeing them pullback any capital and if so, do you see that as an opportunity to potentially accelerate some of your spend and some of your market share gains? And then switching gear just to etail. Can you provide some of your thoughts around how you see these business models developing over the next couple years and talk about your major etail assets? And specifically should we see a rapid transformation to 3P, or there still will be a strong focus on 1P? Thank you.
Bob van Dijk: Okay. So, I will answer the first part of your question then, I will hand over to Oliver to cover the etail question. So, I think I would say generally, we’ve seen some uncertainty in emerging markets. We now translate into depressed growth. So, I would say we run mainly consumer business that is showing very strong tractions still. What we have seen is indeed that certain, that turmoil leads to other investors being less comfortable and that provides opportunities for us. And we’ve been -- for an example I don’t think that the Avito transaction would have been an opportunity for us if it wasn’t for a certain amount of turmoil in Russia. So, I think actually we run consumer businesses that are somewhat resilience, so we see our organic growth still be growth. I think as our other investors spare back, we see an opportunity to come in and find excellent investment opportunities.
Oliver Rippel: Okay. And this is Oliver. On the etail question, so we are mainly focused on building our high classic destinations for consumers around the key pillars of ecommerce, the next-gen convenience and pricing. What we’ve actually seen within those destinations is that as mentioned out earlier, that 3P is actually going quite fast for all of our B2C destinations. At the end of the day, it’s often a category by category or even product by product type of situation where in some instances, first-party is more focused and other instances especially around a certain long-term categories, third-party is more appropriate. And what we see next few years that most of the successful B2C companies, also in our portfolio are focusing on both further scaling first-party, as well as also getting the third-party transactions on the platform.
JP Davids: Thank you.
Operator: Thank you very much. Next question is from [Jonathan Rudy] [ph] from [Peregrine Capital] [ph]. Please proceed.
 : Good afternoon, everyone. Thank you for the presentation. I have just got a further question on the $2.5 billion equity raising. When I suppose shareholders and based on our modeling, the share is trading at quite a substantial discounted value of all our businesses. So, we very much look at the business on a per share basis and issuing additional shares, your equity selling a portion of all your current businesses including Tencent and classifieds. And let’s say on a per share basis, you are probably selling that around a 30% discount at the moment. So can you just talk us through the rationale behind this and how you decide on this route business rather selling a portion of some of the businesses at full value rather than at the current discount that’s it’s effectively selling it at?
Basil Sgourdos: Yeah. So first of all, I would say I think we’ve looked at the current asset base very carefully and we see a significant flow to the upside. And so we feel selling now, we would be selling as things hold. The classified business is at a very early stage. So, we are not ready to go and take money off the table there. When it comes to the risk factors, of course we’ve looked at it very carefully and in our thinking, bear in mind we and others in governmental will always stay and discuss the idea. We can’t able fill our classroom going up and raising capital. And I think the cash flow raise is fairly modest. Avito is $1.2 billion and we will deliver very strong revenues and cash flow earnings and in fact the dilution impact will disappear very rapidly because of the high margins and the high growth trajectory of Avito. And then the balance is $1.3 billion. That really is a very small rate less than 2% of our market cap. So, I think this is very modest and it again reinforces our discipline around investment and around our financial architecture and our balance sheet.
Bob van Dijk: If I may add to that, I think if you look at our track record in the last 18 months, we have been very critical on the assets where we don’t see the return coming in and we sold. And we’ve sold quite a few assets in the last few periods and we make that tradeoff very constantly and very cautiously to make sure that we only retain our assets that we have to believe in future performance.
 : Thank you.
Operator: Thank you. Next question is from Cesar Tiron from Merrill Lynch. Please go ahead.
Cesar Tiron: Yes. Hi, everyone. I have three questions. The first one is on Brazil where you have increased the disclosure, especially on the marketing expenses, which are down 18% on a pro forma basis. Can you say if we can deduct from that disclosure that you should be able to achieve similar results in other countries where the JV operates or if Brazil was a particular example and also if that makes it more or less likely to see a similar transaction in India? And then second, I would like to ask about the slowdown in etail. So if I look at the revenues that you disclosed, the gross rate in H1 is 35%, which is very strong but that’s much slower than what you disclosed last year which I think was 45%. So, I understand there are many moving parts including FX and also the move to third-party sales but if you could at least elaborate on the slowdown in etail? And then finally last question, the losses in ecommerce. So in previous years, I noticed there was a clear seasonality in ecommerce losses where H2 losses were much higher than H1 and I was wondering if we are going to see a similar seasonality this year? Thank you very much.
Martin Scheepbouwer: Hey. It’s Martin here. So, thanks for your question on Brazil. I think Brazil is a fairly unique case. At decent market maturity, two very large contenders merged to create a single clear leader in that market and that allowed us and also shifts that to jointly significantly getting market expenditure you have seen. So, I don’t think this collaborates well to India, which is much less mature in all metrics concerning Internet ecommerce and classifieds. And nor is that a two horse race at this point. So, India’s marketing spend will be driven by other factors as referred to earlier about local price metals and opportunities we see for our business there.
Bob van Dijk: Okay. Then on the second question with regards to etail growth rates, as mentioned before, so the numbers that you see here are revenue growth rate numbers. So all of these businesses has a considerable amount of third-party transactions on the platform as well and here the revenue that we actually capture is the commission of those transactions and not the GMV number. So that number is higher. Then I think also secondly and with increasing scale, especially for some of our bigger markets and you won’t actually see slowdown of the growth rate and what that usually goes hand in hand with is an improvement due to scale on the profitability related metrics such as, as mentioned before, gross margins and unit economics.
Martin Scheepbouwer: And then on your last question around the seasonality. So, yeah, video-entertainment business, our ecommerce businesses, Christmas is the most important part of the year and that actually not going in waste. But, again, I remind you we don’t provide guidance.
Cesar Tiron: Thank you very much.
Operator: Thank you. Our next question is from Ziyad Joosub from JPMorgan.
Ziyad Joosub: Hi, everyone. Two quick questions please. First question is on the consolidated ecommerce segment. If you look at ZAR based revenue growth, it was 10% year-on-year and obviously we’ve had a lot of divestures. We’ve also had Kalahari and Takealot being equity accounted, as well as your shift to 3p? I was just wondering and when you look at the standalone sub-segment growth rate, so organic growth rate is very strong. So going forward into full year ’17, can we expect the gap between the organic growth levels at maybe 40% for Classifieds and Travel, et cetera versus the 10% reported to start narrowing or is the 3p drag on is something that could continue for number of years? So in your view where do you see organic growth or at least ZAR based growth for the consolidated ecommerce segment in full year ’17? Thank you.
Bob van Dijk: Yeah. And so just let me deal with that first question. I think you got to really look at our business in the aggregate of -- taking both the associates and consolidated entities, try to accelerate and try to breakout in first something from that is not with execution. Remember, we own 60% of view, 30% of view, as long as you are growing on the right trajectory you again deliver return. Now what happens there in the events of the consolidated number is, we have a lot of the earlier based businesses are in the consolidated picture, so a lot of markings and initial investments in Classifieds and I’ll tell you one as, those are consolidated businesses. So and that is what causes dynamics and I think it becomes difficult when you classify not an intrinsic much about it than the other thing is we remain comfortable with the growth trajectory, we think it will remain solid, ecommerce will remain a fast growing segment and we’re very positive and optimistic about the future.
Ziyad Joosub: Thank you very much. Thanks. And just one quick question. On going through the LATAM, the business is like willing to just based on press reports, substantial growth rates in terms of orders being placed. And obviously in order to fulfill that one intuitively would think that should have to draft your distribution, your model-back delivery et cetera. I’m just trying to get a feel of where do margin fit for this business and is there operating leverage on margins as this business develop. Can you charge restaurants or suppliers higher monthly subscriptions or can you improve your commission? How does this -- you got a feel that a big cost component of this business needs to grow with volume, so you can just give a better color on that please?
Tim Hilpert: Yeah. I can answer that for you. So there is two main ingredients that I think will give you comfort on the business model, one is that the take rates that we see are actually substantial and growing. We’ve been managing as our market share scales to up our take rates in the Brazilian markets, even though its still a rapid growth market, which is very, very comforting. And the other consideration that is important is that about 90% of the orders is actually delivered by the restaurants themselves and not by us. So we do have an in-house delivery service but it’s relatively small as already well utilized and those delivery agents in fact also deliver other things so they are very, very high utilization already. But I think the economics of the moral are very, very sound. So you can also see that from some of the listed peers in other markets and we’re rapidly on the path to achieve results like that.
Ziyad Joosub: Thank you very much. It’s very useful. Thanks a lot.
Operator: Thank you. Our next question is from Richard Tessendorf from Avior Capital Markets. Please go ahead.
Richard Tessendorf: Good afternoon, everyone. First question just around your commitment disclosure, so there was a massive jump in program and somewhat commitments, even adjusting for the stronger dollar. So I just want to get a sense of how much of that comes from ShowMax and sort of the average timing that that commitment balance relates to? And then my second question is just around your sort of global ambitions for ShowMax’s I’ve been a couple of your reports, firstly on Africa and then more recently on overseas expansion. So I don’t know if you can give us any sort of color around potential movement there? Thanks.
Martin Scheepbouwer: Thanks, Richard. On first, I would say, we did a couple of long-term renewals this year. So we’ve done EPL transient figures so those are sort of three year renewals, right. So the commitments reflects those type of contract. ShowMax’s had very limited incremental ambush to the commitment. It’s primarily the biggest sports deal that we’ve done.
Bob van Dijk: And I can answer your second question on ShowMax. There has been some rather speculative and ill informed reports in the press. I think the reality is that the team is focused on delivering an exceptional service in South Africa at this moment. But as you know, our ambition has never ended at the South African border. So, we do look at operating up other opportunities. We’re quite mindful that we want to do this in markets where we have a real structural advantage and we’ll be very critical at framing out which markets are suitable and if we go forward then we’ll know what we’re doing.
Richard Tessendorf: Perfect. Thanks.
Operator: Thank you. Our next question is from Alexander Balakhnin from Goldman Sachs. Please go ahead.
Alexander Balakhnin: Yes. Good afternoon. Three question for me if I may? First, I think your wording around the capital raise you mentioned that you consider the raise and the date as TBC. I was just wondering if there are circumstances when you may choose not to proceed with the capital raise and if you can share what those circumstances are, that would be helpful? My second question is given the classified business over such and a quarter up scaling, created the acquisition opportunities are so value accretive. Do you consider to how classified business the sort of long-term funding alternative “to finance such a deal”, basically on the level of your OLX or enlarged online classified group? And my last question is on Brazil. On the classified business, you mentioned that your marketing spend, development spend is down by 82%. Correct me if I’m wrong. But when our retail experienced 80% drop in marketing spend, it turned quite heavily into EBITDA positive territory. And given you are introducing some more installations mechanism, is it fair to say that you are -- its not already quite closely approaching the cost stability in Brazil? Thank you.
Bob van Dijk: Thanks, Alexander. On your first question, look, the process is straightforward, right. We’ve said, we’re exploring, considering. We got to go after the scope and have a dialog over with our investors, talk about the numbers and take questions and look at the markets and they’re making assessment then we can’t say anything more than that now. On the second one, to go and take funding at the OLX level now, we would be selling ourselves short. We would never realize full value because of the forward flexibility. So, our focused remains to continue executing on the strategy that market laid out and adjusting scales. It is going to generate cash flows for us. It is not going to need funding. No, that’s not an option. We are not going to take funding at OLX now.
Martin Scheepbouwer: Hey. And it’s Martin here. For your third question on Brazil. I can’t really add that much to that already mentioned. But sort of 18% decline in the marketing spend was largely driven by fairly elaborate the spend level prior to deal with Chipset and at much higher levels even than in Russia when the flow of Avitor and slide downwards. So that was pretty comparable. And yeah, as was indicated and we said, I think we’ll spend as much as is needed to maintain our growth rate there and we don’t really give guidance on that in particular. But we do think that -- is that OLX Brazil is ready for further monetization initiatives and that’s why we see a greater climb to profitability.
Alexander Balakhnin: Last, a quick follow-up on the last question. You mentioned spends and development spend in Brazil now. What are the main priorities for you? Is this the traffic build out which head out, or it is rather some developed product? If so, what is that and what sort of verticals are you primarily targeting, I presume with cards but can you probably just contextualize that if possible? Thank you.
Martin Scheepbouwer: Yeah. What I can’t say is that that OLX Brazil is in a great good position, when it comes to C2C good segment. And also they have the best whole position in cars and a medium to strong position in real estate. And also there is early tractions in smaller verticals. So as we go along, we will see where we can push to monetization and where we need to invest for growth. And considering the size of Brazil and that might also vary by region. We can imagine that we monetize in one particular city, on particular vertical but invest in the same vertical on the different city.
Alexander Balakhnin: Thank you.
Operator: Thank you very much. Next question is from Richard Barker from Credit Suisse. Please go ahead.
Richard Barker: Thank you very much. Got a few I’m afraid. So very quickly, first of all, on the price comparisons, I’d like to see you now dropped in as a separately sort of identify segment. I guess you’ve sold three businesses in the last nine months or so. You take a big write-down on Buscapé. I mean, is that the end of the line for price comparison and is it just a bit too identified as the best of world? And should we expect you to be exiting Buscapé in due course as a result? I guess there also scenario as well in Central Europe. That’s is the first one. The second one is, just again to do with ShowMax and Letgo, are two new initiatives. I'm sorry to say they are sort of very low ground. But I just wondered if you can run over what you’ve said up to date in terms of, what’s your initial capital commitment is today for day-to-day projects. And the period of time lag from which that spending, you’d expect that spending essentially to cover in terms of start-up cost. I think just on the ShowMax side, I just wondered if you could say a little bit about what do you see in terms of traction so far in South Africa, given that many of the other Internet-based video often struggles to gain any kind of traction at all. Just wondered if you are seeing the same kind of problems or whether you have had a better experience there? And just on the Letgo side. I just want to try and understand exactly the rationality. I think what I picked up from what you have said so far in the call. The rationality is to sort of give it a go in U.S., obviously with some hope that you can catch greatest, the under investing I guess on the mobile side. And so obviously had to go elsewhere but is that right? How should we think about that? At the moment, it’s still a bit of child? I presume there are aspects of the products, which you are going to start roll out across the various OLX markets as well but maybe I could just leave that for you to explain. Thank you.
Martin Scheepbouwer: Okay. Thank you. So, I’ll cover your first question on online comparison and shopping. You’re right, we’ve sold three properties recent here and it has much to do that. If you look at globally comparison shopping as loss market share of total ecommerce traffic, I think there is generally two. Now having said that, there are the certain markets where it comes as very fragmented. And Brazil is actually one of those markets but more or less, it is still adds a lot of value. So, Buscapé is an example of a business that’s actually profitable still. And the Brazilian microeconomic has put a lot of pressure on it but I still think that business can generate nice profitability going forward and be very relevant in that’s fragmented environment. And similarly, our Ceneo business in Poland is very profitable and is actually going at a good cliff. So, I would say the situation is quite different. Overall, the segment has had some pressure but the assets we still have in the portfolio, we’re actually quite pleased with. Your second question is, as we said in the presentation, the comments we made were funny. ShowMax sales will go up in the second half of the year and we believe it will stay with us for some time, as we both scale and get the business going. That’s all we can say. We can’t give -- we don’t provide further guidance and we can’t give detail numbers. On Letgo, the comments we made was following. We’ve invested $50 million to date and there is an option to invest an incremental $50 million. The pace at which that gets consumed at will already depend on how the competitive dynamic plays out. So again, it is very hard to give you a definite winner to that. And I’ll hand back to Bob on ShowMax traction.
Bob van Dijk: Yeah. So on ShowMax traction, I think what I would recommend you to do is look at a great sort of public data and analytics companies like similar weapons. You want to relative traction as ShowMax versus some of the local competitors. I think that will give you an answer too, how is it doing versus local competitors. The answer is very well. In terms of the traction, our own expectation is actually ahead but it is early days. We’ve launched the product just a few months ago. We’re just getting our marketing initiatives and our partnerships up to speed. So, I would say it is early days but in terms of traction versus local competitors, have a look at external sources and you’ll be quite positively surprised.
Martin Scheepbouwer: Yes. And it is Martin here for your final question on Letgo and the key behind it. So, we prioritized U.S. for Letgo, as we think U.S. is a very classified strong market, that’s been historically served by great list, which has develop into for long-term the largest classified platform globally. But considering its low level of innovation and weak presence of mobile, we amongst others still felt this was a good time to see if one can make a very successful entry into to the U.S. and we choose Letgo as our approach as mentioned before. As for the degree of other such markets, we look at them. But yes, the key point here is that it’s really early days for Letgo in U.S. We’ve been lying for about six months, have just brought our first marketing convey. And at this point all we show early traction and we will see that grows from here.
Operator: Thank you. Our next question is from [indiscernible] from [indiscernible] Capital Management.
 : Yes. Hi. Thanks for the call and for taking my question. It’s with regards to your ratings at S&P, your rating was negative and has been slow since the end of October and they said you have three months timeline to resolve that rating watch negative. I assume you have been in close contact with agency and presently they are quite pleased with your plans to raise 2.5 billion of equity, but your timing of TDD. So does it need to happen before the three-month timeline set out by S&P or do you have some flexibility to execute that schedule rate?
Bob van Dijk: Yeah. So basic relocks and debt relocks, and we don’t think about that we will do things in the right order and the right sequence? So, yeah, we actually impress to deliver within that timeline.
 : Is S&P comfortable with that?
Bob van Dijk: You ask S&P.
 : Okay. Thank you.
Operator: Thank you. Our next question is from James Lockyer from Jefferies. Please go ahead.
James Lockyer: Hi. Thank you. I guess I have two questions and just on the, yeah, first, you are not providing an organic growth numbers, currently this for economic interest? I was wondering if you could help expand the organic biggest deal consolidated revenue number as reported growth of 9% versus the 24% for economic interest revenue? Secondly, the $1.2 billion, I know they have been number of questions on this, but I just want to pick at the wording or the statement, you stated were materially impact debt levels over the medium-terms, does that mean that reaches debt element, we think its small and could you give me more color around that [indiscernible]?
Bob van Dijk: Yeah. Sure. On the consolidated numbers, sorry, in the aggregate for the group, there is a couple of things that have happened, right. Imtiaz spoke to you about the sub-Saharan DTH business and some of that is actually gone backward, so that had some impact on the overall growth. And then particularly we spoke a little bit about the challenges around [indiscernible] comparison deals year-on-year we have seen some impact there. But again as the macro [indiscernible] we think that business will recover, actually sub-Saharan once that macro environment settles. So again that of course that disconnect and again I encourage you to look at on an economic interest base and not try to pick it out like that. But the key headlines of those two things. Then and actually the statement in the Avito release, again, I think, we have options, we have debt capacity, we have available science and again our plans will evolve over the next -- will evolve and I can’t tell you right now what we are going to do, regarding our OpEx, do our road show, talk to our shareholders, come back, re-group and then make our choices. I think we have capacity for debt equity.
James Lockyer: Okay. Thank you.
Operator: Thank you very much. Our final question is from [Christie Grove from White Fox] [ph]. Please go ahead. Christie, your line is open, would you like to proceed with your question.
 : Hi. Sorry about that.
Operator: Okay.
 : Sorry about that. And yeah, earlier you were saying, I am going to go back to the capital rate question and I think, earlier you were saying that it’s a bit pre-matures to sales in your underlying assets and not reason why you are considering capital rates that were shared? And for me that mathematically it pertains that there is more upside available in your listed assets that would be any of the underlying shares and then I am just wondering if that -- if I am misunderstanding this in some way? And then, secondly, in terms of compensation, can you explain how management and -- is compensated whether by sort of the main asset value or the underlying entities of the share price, because I feel like this business you given equity raise would be somewhat contrary to how I thought that you were and how I thought that management has measured?
Bob van Dijk: Yeah. Thank you for your questions. I will address both of them. So, first and foremost, we are very strong believers in our listed assets and I think by far the largest investment is obviously Tencent which we believe has a very strong potential future value appreciation. I think that management team is second to none in the world and has frankly delivered on everything that ever touched. We see the number of initiatives they have, how much traction they have and we have a lot of confidence in the further future appreciation. So the second question around management incentives, for most of our Senior Management, particularly on the corporate side, we have a very large part of our long-term compensation tied to the Nasper share price and long-term is the key here. So, we believe that the equity raise we are proposing today where in the long-term create a great deal of value for our shareholders and our personal compensation is closely tied to that.
 : Okay. So there is nothing, I mean not the share price is -- I mean predominantly are almost completely based on Tencent share price at the moment? Is there anything missing in the structure that I guess incentivizes you to focus on value of Nasper and Tencent?
Basil Sgourdos: Sure. I think our focus here remains on scaling these businesses, getting them to start, to continue generating strong topline growth and then translating to profits and cash flows and then I think this will ultimately start to drive value to those. We have already seen some re-raising in classifieds on the back of the progress we made and we expect to see further re-raising as we gain traction, as we start to deliver profit and cash flows.
Bob van Dijk: Yeah. We are focused on building some of these quite exciting businesses over the long-term to be very, very strong and we believe the market will recognize it.
 : Okay. Okay. Thank you.
Operator: Thank you very much. Our final question comes from Chris Grundberg from UBS. Please go ahead.
Chris Grundberg: Hi guys. Yeah. Just a quick couple of follow-ups I guess. Just on Letgo, I appreciate you giving us some good detail there but I wondered if you could comment at all. You talked about the competition there and that indicating what impact will some of your future spend. Just can you flush that? I’m assuming quite a lot of that is the eBay mobile classified strategy. Obviously, we are keen to hear but correct me if I’m wrong. Where do you see your specific advantage there and how do you see that playing out, or can you comment at all about what do you see as being attractive? And then this is a further follow-up on ShowMax, I guess, just -- again just optimistic. But maybe you can give a little sense in terms of what do you think the long-term addressable market might look like, just to say what do you think the output might look like in terms of number of those subscriptions? Thanks.
Martin Scheepbouwer: Hey. It’s Martin here. Thanks for your question on Letgo. So, my starting point would be to say well, look at sources like SimilarWeb and Google Trends, and I think you will share my conclusion that we have been able to outgrow the competitive league in the U.S., which comprises of Classifieds and one of -- multiple optimum among others. We identify like we always do with classifieds by focusing on operational excellence around building, engaging mobile products and marketing this in an effective way through efficient channels. And we are most ready to sell to some others we can actually build on many years of cumulative experience in classifieds on how to do these things in huge numbers.
Bob van Dijk: And then maybe to address your final point on ShowMax. I mean to some extent in South Africa, you are boxed in by the number of people who have a proper broadband connection. And I think you know, as well as I do that there is a very fundamental shift in the number of people who are connected on broadband. It will take some time. But I think as the years go by, I think many, many people will have the right broadband connection. Millions of people will have the right broadband connection to be able to consume this product. Also, we wouldn’t underestimate over time how prevalent Wi-Fi will be and how important it will be as a source of access for people. Something we’ve seen in Asia as well. Not everybody needs a great broadband connection at home to find a way to get access to stream video.
Chris Grundberg: That’s helpful. Thank you.
Operator: Thank you very much. Gentlemen, we have no further questions in the queue. Do you have any closing comments?
Bob van Dijk: I want to thank everybody for their attention and for great questions, and look forward to seeing some of you in the next few days.
Operator: Thank you very much. Ladies and gentlemen, on behalf of Naspers that concludes today’s conference. Thank you for joining us. You may now disconnect your lines.